Andrew Cosslett: Thanks very much. Good morning, everyone. Thanks very much for joining us today for the Kingfisher's Half-Year Results. For those of you who don't know me, my name is Andrew Cosslett. I'm the Chairman of Kingfisher Group. I'm joined today by John Wartig who joined the company as our Interim CFO back in April. And in addition to his CFO responsibilities, the Board also asked John to take over the running of our transformation office including a very specific and detailed focus on Castorama France as part of that. John has got deep operational experience of change management and his insights. Some of which you will hear in some detail today have been very valuable to both the Board and to Kingfisher team generally since he joined. We're also joined this morning by our incoming Chief Executive, Mr. Thierry Garnier, and you'll be hearing a few words from Thierry shortly. Thierry, welcome. We will follow the usual format this morning. I'll start with an overall summary of our performance before handing over to John who will run through the financials in more detail. And then of course, we'll return with a look at the priorities and then take your questions. So let me start with Slide 4 and the overall picture for the half year. While the transformation of the Kingfisher business continued during the half, further progress was made in unifying our products. We launched a number of innovative new ranges and we introduced further capabilities to our unified IT platform. The financial performance in the half however, was mixed. Screwfix, Poland and Romania all delivered like-for-like sales growth in the period. At B&Q, LFL sales were 3.2% lower which included a 2% impact related to the discontinuation of our installation services last year. And of course the business continues to be exposed to the U.K.'s weak consumer backdrop. John will cover the performance drivers in more detail shortly. I should have said that we also have Graham Bell, here, who's the CEO of B&Q. So, any particular number of questions will be going straight to Graham. Welcome, Graham. So, the sales performance of Castorama France was impacted in roughly equal measure by the price repositioning that began in the latter half of last year, and by issues related to our change program that are impacting supply chain and logistics operations. The performance of Castorama France has been a major source of disappointment and concern to both our shareholders and our Board and rightly so. Later on, John will go through in detail the actions that we have underway to get on top of these issues. The Brico Dépôt formats in France, gross margin rates and gross profit pounds were both high year-on-year. And lower sales and that reflects the proactive decision we took to reduce the level of low-margin promotional activity there. On the digital front, the investments that we've been making are starting to gain some traction with good sales growth across the group from that channel. In the half, the group's overall gross margin rate grew by 60 basis points after clearance, the improvement largely coming as a result of our unified sourcing. Both the sales and gross margin rates of our unified products were up increasing by 0.4% and 150 basis points respectively. We would also note that gross profit pounds for the group as a whole were up year-on-year. Our balance sheet remained strong and in his section, John will take you through the detail of how IFRS 16 has impacted us. Overall then, a mixed picture for the half with some positive developments, but also clearly some key areas that we need to address. Now, Thierry joins us next Wednesday and will take over the reins from Véronique who steps down next week too, or not, steps down next week. Now, given the closeness of this meeting to Véro's departure and the forward-looking nature of this presentation in many respects, we felt it was more appropriate for me to take comments and make comments in this area rather than Véro and hence her absence today. But let that not detract from the tremendous contribution that Véro has made to this business over many years. Over the last few months, Véro has remained fully committed to Kingfisher and has worked really hard to ensure that the transition with Thierry was an orderly one. She leaves with our best wishes for the future. Now, turning briefly to Slide 5 and the key highlights before I pass on. 59% of the group sales in the half were unified. That's up from 42% in half one last year. While it inevitably takes time for new private label brands to establish themselves, sales of these ranges are growing and the benefits of unified sourcing are delivering a higher gross margin. And as we showcased at our Innovation Day in May, we've also started to increase the focus on the amount of product that is unique to Kingfisher with a number of key new ranges launched during the period. As I said, digital performance in the half was encouraging with digital now representing 7% of the overall sales volume for the group - sorry, sales value. And that's up from 6% last year, and looking back, 3% in 2016. Group digital sales were up 18% overall with Click & Collect growing by 24%. Each of our operating companies delivered growth in this area with all achieving higher website conversion and penetration rates. We are encouraged by the movement in our overall price tracker which again improved during the period and the latest set of Net Promotions Scores show an increase for each of our markets which is also reassuring. Now, of course, the success of all the activity we're doing, in the end will be measured by revenues and profits. But these leading indicators are important signposts for us because they tell us that we're moving in the right direction. And last but by no means least, our colleague engagement scores remain very strong. This continue to sit above retail averages which is very encouraging given all the change and disruption that's taking place across that business in which as you might imagine can cause a negative impact on team and individual moral on occasions. So let me now introduce Thierry. Thierry is a highly experienced international retailer who has spent over 20 years leading large scale operations and successful change management journeys for Carrefour in France, South America and Asia. Most recently, he's been based in China where the pace of change in retail is quite extraordinary driven by the digital savvy customer. I'm absolutely delighted that Thierry is joining the company and I know he will make a big difference for us. Thierry, perhaps I could ask you to come and say a quick few words.
Thierry Garnier: Well, thank you, Andy. Good morning, everyone. It's a really great pleasure for me to be here and to meet you all. As you know, I will formally start in the business in a week from now, in a few days, but I think it's a great opportunity for me to introduce myself. So I don't want to let it pass. First, to tell you how excited I am to be joining Kingfisher and all the colleagues at Kingfisher in a few days’ time. I am a retailer. I have a deep passion for retail. I like spending time in stores with customers, with colleagues. I like building teams and mobilizing organization around addressing the changing needs of the customers. That's very important for me. A big part of it as well is around digital. As you know, I spent several years in China. So, digital is very important for me. I would say the passion as well. And I think we have a lot of opportunities ahead of it. Maybe let me tell you a few things about my experience, as Andy just mentioned. I spent the most recent years in Asia. I was based in Shanghai, leading Carrefour’s Asia operation. As many of you knows, you follow retail, China is now a retail laboratory for the world. And we led - Carrefour, we led in Asia and in China big transformation plan. First, this is about new format, new convenience store format, new big box format. We as well established a very large new supply chain in many different cities in China to improve fulfillment and availability. This was around digital. So we build a very big food online operation in China. We did many partnership with the Chinese digital ecosystem like Alibaba, Tencent, etcetera, if you know those companies. And at last at the same time, we had to take tough decisions on costs. It’s the closure, downsizing of stores, reduction of cost overall, and all these plans drove much better - I would say much better results of the Asian zones forecast in the past two to three years. And the last example I would like to give you is we launch in 2015 food online operation and by this summer it would present the largest Carrefour food online operation by the number of order per day or by the participation. Previously, I've worked extensively as well in France in many different formats and I led the transformation, you know we had transform from Benelux, I led the transformation from Champion to Carrefour market a few years ago that was a successful transformation for over 1,000 supermarkets. Maybe last thing to say in China as in France I've been working in metrics organization where getting the balance right between the center and the operating companies. Central market is obviously a key success factor. As in clearly today, I’m in a position to listen. I’m not in a position to take questions. It’s too early for me. But just to let you know in the past couple of weeks I've had the opportunity to listen to many of the largest shareholder of Kingfisher and I wish to continue to have this conversation. I'm sitting down in London, I will leave in London. So, now it would be much easier for me to meet with all of you and looking forward to meeting you properly face to face in the coming few months. So, thank you all, and now I hand you over back to Andy. Thank you.
Andrew Cosslett: Thanks Thierry. So, from what Thierry said, he’s now starting for a few days, so probably a bit early to going to be answering questions today. But I know he wants to engage over the next few months to as many of you as possible. Now, despite not being in the chair, Thierry has already been very engaged with me over the last few months on the important task of filling gaps and adding new talent to our leadership team. We've had a lot of change at the top of this organization over the past few years and we now need to fill out this executive team, settle it down and move forward to get under Thierry’s leadership. We do need to attract more talent to this business and while of course we will always have deep sector knowledge in the team, the balance of the team would benefit from more class-leading functional skills, some more experience of change management, and from best practice from the wider world of retail. We've been working hard on this throughout the summer and we expect to have a steady flow of news on senior appointments over the next few months. Now, with that, let me just hand it over to John, who is going to come out now and take you through the financial performance in more detail. John?
John Wartig: Thanks Andy, and good morning, everyone. In terms of structure, I'm going to start by giving you an overview of the group's performance in the half before taking you to the detail and the drivers. And as Andy mentioned, part of my rolling vote during the group’s transformation office. And so, I’m going to give you some insights and actions on this, in Castorama France specifically. I’ll then update you on the outlook for the full year. Before I start, just to remind you that from 3rd of February this year, we have adopted IFRS 16, the new accounting standard for leases. All the numbers presented are therefore under the new standard and the restated comparatives are in line with what we published to the market in our IFRS update last month. Turning to Slide 7 in an overview of the income statement. Total group sales was £6 billion and down 0.9% and like-for-like down 1.8% based on a constant currency basis. Gross margin for the group was up 60 basis points and both reported in constant rate. This was a solid margin performance with the sourcing and price repositioning benefit partly offset by logistics and stock inefficiencies largely in Castorama France, as well as incremental clearance. As a result of the margin improvement, gross profit was slightly ahead of half one last year with operating costs up just over 2% on last year. Retail profit was down 4.4% on a constant currency basis to £466 million. Adjusted profit before tax which is after central costs, interest and transformation costs was up 3.7% in the period to £337 million, reflecting the expected reduction in transformation costs year-on-year. And I’m pleased to say in the next financial year, we’ll simplify our reporting by removing the underlying profit measure, given that the vast majority of the transformation P&L costs will have been incurred by the end of the current year. Our adjusted effective tax rate was down slightly at 26%. Adjusted basic earnings per share were up7.3% reflecting the lower tax rate and the impact of last year’s buyback. Statutory EPS, which is after exceptional items, was down 15.6%. Finally, the board has maintained the interim dividend of £0.0333. So, now, let me take you through the exceptional charges of £93 million for the first half of the year. These largely relate to the ways we are dealing with the underperforming parts of our business. The first component, a charge of £68 million, relates to the redundancy provisions associated with the 11 planned store closures in France over the next 18 months, and the previously announced store closures in Germany, which completed during the period. Sales of freehold stores subject to closure expected to cover these cash costs of exit. The Russian-Iberia charge of £26 million largely reflects store impairments in Russia. Given the challenging conditions in that market, we announced last year that we are focusing on markets where we are leading or can become the market leader, and therefore made the decision to exit Russia and Iberia. Both processes are ongoing. Moving on to Slide 9 Let me now cover the performance of our major geographies, which as you can see from this overview is mixed with weaker sales performance in the U.K. and France offset by higher gross margins. There was a modest decline in profit in U.K. of 1.7% and 12.2% decline in France. Poland was broadly flat. And the losses from the other remaining geographies were flat year-on-year. On to Page 10 and performance in the U.K. and Ireland. Against the backdrop of a weaker consumer and a softer housing market, B&Q delivered a negative 3.2% LFL for the half which as Andy mentioned earlier, includes negative 2% from the discontinuation of installation services at the end of Q3 last year. There were several other factors that impacted the top line as follows. The ongoing implementation of new ranges including s surfaces & décor and kitchens caused disruption, while weather-related categories were down nearly 3% against the strong comparative driven by very hot weather in Q2 last year. And as reminder, our Q2 finished at the end of July. Digital sales, however, continues to grow, up 10% now representing 5% of total B&Q sales. And we also saw a modest benefit from home-based store closures. Screwfix continues to gain market share through its convenience model and strength in digital. Like-for-like sales grew by more than 5% while digital sales grew by 18% now representing 32% of Screwfix sales. We also opened another 16 stores in half one taking the total number of stores 643. We look forward to the business opening its first store in the Republic of Ireland later this year. And our store-opening target for the full year remains unchanged. Gross margin for the U.K. & Ireland increased by 60 basis points benefiting from unified sourcing and B&Q’s discontinuation of installation services. The margin in the second half of the year will be impacted by incremental clearance from B&Q’s old kitchen range and ongoing investment in price in Screwfix. Overall constant currency retail profit in the U.K. was lower by 1.7%. Continuing on to Slide 11, LFL sales in France were down 4.4%. This compares unfavorably with Banque de France's data for the French DIY market for the same period which was up nearly 2%. Looking at each of business in turn, Brico Dépôt is 4.6% like-for-like decline was driven by the proactive reduction in lower margin promotional activity which had a negative 5% impact on Brico's like-for-like. As a result of this action, gross profit pound increased year-on-year. At Castorama, we saw a decline of 4.3% largely reflecting price repositioning and transformation-related activity which I'll talk more about in the next slide. Total France gross margin increased 60 basis points with an increase at Brico Dépôt partly offset by logistics and stock inefficiency at Castorama. Overall, the increase in France gross margin rate was not enough to offset the like-for-like decline and retail profit in France ended up lower by 12.3% at constant rate. Turning to Slide 12 and an update on Castorama. First, I'll recap on where we are today, give some insight on some of the operational issues we are working through and then highlight the area of focus. During that period, we launched a number of new major ranges including outdoor, Surfaces & Décor, Bathroom & Storage, and Tools & Hardware. And around 60% of the offer is now new unified products. Surface & Décor is an important category for Castorama and there was disruption as the new ranges landed adverse the impacting like-for-like sale. On a more positive note, the leading customer indicated we're moving in the right direction. For example, price perception is an improving trend and customer Net Promoter Scores have improved by five points over the year. The price index has also come down and now only slightly above our closest competitor. Digital sales, click & collect and website conversion rates are also up by Castorama, albeit, of a small base. The key for the business will improve the effectiveness of enabling technologies and operational processes. And that's what we're working hard on. To contextualize, the operating model across Kingfisher today is underpinned by unified IT platform along with a split of responsibilities across local markets. And our group offer in-sourcing organization. Applying this model to Castorama France, which comes from a legacy of a decentralized model, has been highly challenging. The implementation of the change program at Castorama France has, therefore, caused issues and continues to cause issues. In our stock planning, stock management and logistics processes which in turn is leading to lower than expected stock availability and fulfillment rate. These issues have arisen due to ongoing challenges with vendor management, product data and changes to store operations which are all being aligned to the new IT platform, operational processes, and unified ranges within the business. Let me illustrate this with a simple example. Castorama is currently working with over 1,000 vendors who are each required to comply with the fine processes around ordering, receiving and invoicing. If a vendor fails to comply with the ordering process, this can mean stock is received but booked into the stock system manually requiring significant time and effort through workarounds be completed. This in turn can lead to temporary inaccurate stock records, additional costs and delays. To amplify this, we’re incurring additional costs due to running legacy system in parallel during the transitional phase. These operating issues are typically manifesting itself in the supply chain which ultimately has an impact on our stores, online, and, of course, our gross margin. Therefore, correcting the underlying operational issues is a key area of focus for us. Alongside the implementation of new differentiated ranges, we will continue to work to improve the effectiveness of Castorama’s IT platform along with the efficiency of its operational processes and fulfillment function. Part of getting this right is to review and adjust when necessary, the balance of responsibilities between group and Castorama. We believe we have identified the pain points and have a series of ongoing detailed work streams to both eliminate the underlying issues and take corrective action to drive through the benefits of the change program. Over time, this should improve the overall performance of our supply chain and logistics operation which is essential for Castorama to be in a position to grow again. We’ll also launch the next stage of our e-commerce platform in the second half to support continued digital growth. Turning to cost and store performance, cost benefit are being delivered from the 5% FTE reduction that took place in the second half of last year following the transition to our financial services center in Poland. And following consultation processes, we’ll be closing nine underperforming Castorama stores over the next 18 months. In summary, the performance of Castorama continues to disappoint. However, the business has taken important steps to improve its customer proposition its offer its price competitiveness and its e-commerce capability. The primary causes of the operational issues have been identified and we’re taking the necessary actions to address them. This will take time but we have a focus work planning place to deliver tangible and sustainable improvements in these areas. Turning to Poland and Romania. Poland delivered good LFL sales growth of 3.3%, benefiting weather-related category particularly in Q1. We estimate that Sunday trading restrictions which we moved one further day of trading per month impacted like-for-like sales growth by 1 percentage point in half one. Poland’s growth margin was down 20 basis points, largely due to higher clearance and higher outdoor sales which are lower margin. Cost increases related to wage inflation, higher digital costs and pre-opening costs as we open two new stores during the half also impacted margins. As a result, retail profit was broadly flat. In Romania, like-for-like sales increased by 10.5%. Contributing to this was a good performance in unified ranges. Praktiker stores have now been rebranded as Brico Dépôt with the final store to complete the second half of this year. In addition, the quality of ranges has both improved as it’s expanding in terms of SKU. This is however a period of transition for Romania and the overall business made a retail loss of £8 million, driven by losses in the form of Praktiker stores. Towards the end of H2, we will start the back-office integration process for the businesses. It should be noted we are currently running both businesses separately. Let's now turn to Slide 14 in the remaining geographies. Combined like-for-like sales in Iberia, Russia and Screwfix Germany declined by 4.9% with reported retail loss of £5 million including equity accounting profits from our JV in Turkey. Our exit processes in Russia and Iberia are progressing. We are currently reviewing a number of options for both businesses and we’ll update you as soon as we can. Spain continues to generate a small profit plus the trading environment in Russia remains challenging resulting in the impairment that I mentioned earlier. In Germany for Screwfix, we have now closed all 19 stores and that we know further Germany related losses in the second half. Moving on to Slide 15, we can say that unified and unique ranges continue to outperform our non-unified ranges in both sales and gross margin. 59% of sales were from unified and unique ranges which grew by north 0.4% against a north 0.9% decline in the non-unified ranges. We achieved growth in four of our seven categories. Of the two negative categories, one experienced significant range changes during the period and the other face tough weather-related comparatives. Before logistics and stock inefficiencies, all categories delivered growth profit growth, demonstrating the ongoing benefits of unified sourcing. On Slide 16, we set our bridge of the group gross margin movement of 60 basis points for half one. We can see that 150 basis point gross margin improvement in unified product has driven an 80 basis point benefit across the group while the margin on non-unified offer was flat year-on-year. As a positive margin drivers for the group included price repositioning, mainly driven by Brico Dépôt which led to a 30 basis points positive improvement and the discontinuation of installations at B&Q which had a 20 basis points positive impact. Partly offsetting factors included incremental clearance ahead of the new ranges launched in half one, which had a 40 basis points impact year in the period. And as highlighted earlier, logistics and stocking efficiencies mainly in Castorama, France, had a 30-basis-point impact on margin. Slide 17, this provides an overview of our cash flows and a summary of our net deposition under IFRS 16. Firstly, on cash flow, we generated £695 million of EBITDA in half one and paid €236 million of net rent. Moving through the bridge, there was a £45 million outflow working capital and this reflected an increase of stock of £111 million which was driven by store expansion, changes in operating model and higher stock level primarily in France. This was partly offset by a net increase in credit of £66 million. Bear in mind, we are looking here at the movement in working capital over the six-month period. The seasonality plays a part. However, as mentioned earlier, improving stock management and planning process is a key area of focus to cast around the fans. After capital expenditure of £163 million and tax and interest payments, free cash flow in the period was £204 million. Income from property disposals is largely driven by a small number of sale and leaseback transactions in B&Q. After dividends, the movement in cash was positive £131 million, helping to improve our cash balance to £385 million at the end of the half. Under IFRS 16, which I'll cover in a moment, you'll be aware our lease liabilities of £2.6 billion are now included on our balance sheet. Our lease liabilities were largely unchanged since year-end, but the improved cash position helped reduce our net debt by £158 million during the period. As a result, our restated net debt to EBITDA ratio fell from 2 times to 1.8 times, which remains consistent with our objective of maintaining our solid investment grade credit rating. Turning now to Slide 18 and our full year 2019-2020 outlook and technical guidance. Full technical guidance is outlined in this slide so I'll just pick out a few items. As we enter the second half, the outlook for our main markets remains mixed. The U.K. market in particular remains uncertain in the short term in B&Q. The discontinuation of installations will – annualized at the end of Q3. In France, we expect Castorama to underperform, and the reduction in promotional activity annualizes in Brico Dépôt at the end of Q3. Excluding Russia and Iberia, we continue to expect gross margin after clearance to be flat year-on-year. Some of the positive margin drivers in half one such as price repositioning at Brico Dépôt and discontinuation of installations at B&Q will not fully repaid in half two. In addition, we have also slight upped our incremental clearance guidance for the full year to £30 million to £35 million from £25 million to £30 million, which includes clearance for B&Q kitchens in half two. Screwfix will also ramp up its investments in price in the second half. We now expect central costs to increase to around £55 million, which are £5 million higher than previously guided, largely reflecting additional activity at the center as we strengthen our resources and leadership team. For this year, transformation P&L costs are now expect to be around £50 million to £60 million. Our guidance on CapEx remains unchanged. We expect total CapEx to be up to £375 million which includes investments to support the unified range implementation, new store openings in Poland, as well as investment in fulfillment capabilities. And finally, in respect of store closures, we continue to expect any future cash costs of exit to be covered by our sale proceeds from the owned stores. Slide 19. On this slide, we summarize the impact of implementing IFRS 16, the new accounting standard for leases. We adopted a full retrospective transition approach in the 1st of February, 2019. The first thing to say is that the new standard has no impact on cash flows or the underlying economics of the business. The table on this slide show the respective impacts on retail profit and the balance sheet for last year’s full and half year. In FY 2018, 2019, retail profit increased by £171 million as the pre-IFRS 16 rental charge is replaced by a lower depreciation charge. By geography, the main impact is in the U.K. due to the high proportion of lease stores. However, after IFRS 16 impact on interest costs of £169 million, the net benefit to underlying profit before tax is negligible. In terms of the balance sheet, net asset at 31 January, 2019 have reduced as expected. This reflects the new right of use asset of £2 billion and the new lease liability of £2.6 billion, which is lower compared to the liability which is derived under IAS 17 from our previous assumption of 8 times property operating lease rental. As a result, the net debt-to-EBITDA multiple at end of last year is restated 2 times under IFRS 16 versus 2.6 times under IAS 17. Moving to Slide 20. We will set out the steps taken to manage Brexit and foreign exchange risks. We do not anticipate any significant change to stock levels in the 31st of October no-deal Brexit scenario and have sufficient stock in place to cover near-term demand. We’ll continue to monitor this position and take action if needed. With regard to tariffs and customs, if the governments counterproposal for no-deal tariffs are confirmed, it would have neutral impact as most of our products would carry a 0% tariff. We’ve also updated our implementation process to prepare for a hard border between the U.K. and the EU, including FX to simplified custom’s procedure and alternative cross channel and deep sea ports of entry. We also remain engaged with key vendors in this area. On talent, as you’d expect, we are keeping a close eye on retention and hiring but haven’t a noticeable impact to-date. We’ve also been helping some existing employees to gain settled data. Now, looking at foreign exchange exposure. Of our total annual GOGS balance of £7 billion, around 20% is purchased in U.S. dollars which half relates to the U.K. We have in place an 18-month rolling hedging program to hedge all committed orders against changes in FX rates for the U.S. dollar and the euro along with a significant percentage of our forecast net exposure, above and beyond what is committed. There is also some protection from cost price inflation from our existing stock level and some of our existing supply agreement. Finally, to summarize, the first half sales performance was mixed, but frankly, disappointing. The positive performance at Screwfix and in Poland were offset by France and B&Q. For Castorama France, the primary causes of the operational issues have been identified and we have a work - a focused work plan in place to deliver tangible and sustainable benefits over time. Encouragingly, group margin was ahead by 60 basis points benefiting from unified sourcing and price repositioning. The business remains cash generative and we retain a strong balance sheet. These results were delivered against the challenging backdrop, and the outlook for our main markets remains mixed. This is particularly the case in the U.K. where Brexit uncertainty remains high. Finally, we have reiterated our guidance of a flat gross margin percentage after clearance for the full year. And with that, I’ll now hand back to Andy. Thank you.
Andrew Cosslett: Thank you. Thanks John. So, just moving onto the final section, I think it's generally acknowledged by most people that what it takes to win in mainstream retailing these days is quite different to where it was a few years ago perhaps. And while the core disciplines of retailing remain as necessary as ever, they are no longer sufficient. Mainstream retailers today certainly need to be recognizably competitive on price, offer great value, they need to deliver ultimate convenience through a seamless integration of their physical stores and digital platforms, and they need to present a range of products and services which differentiate them from their competition. Kingfisher in its old form ticked a few of these boxes. So, both to survive and prosper into the future, the group really had to make some fundamental changes as to how it went to market and to its internal ways of working. It needed to become much more efficient to generate the source of funds it needed to reinvest in the customer proposition. Invest the prices, in digital capability and in the quality of its product. Kingfisher's strategic approach is pretty simple. You can see it in this slide at the top of the house on the slide. So using our scale more intelligently for the benefits of our customers seems a fairly obvious thing to want to do. Scale is one of Kingfisher's greatest assets and it would do – it does seem odd not to want to deploy that as a competitive advantage. To make it pay on a scale pay, we need to get two discrete blocks of activity right. First, we need to have the right customer proposition; the right balance of local, international and private label brands; competitive prices; leading-edge digital experience; active management and development of our stores; brilliant customer service; and the Screwfix, in particular, a well resource expansion plan to maximize its tremendous growth potential. And at the heart of all these is our team. It's absolutely vital that they are working in sync with real clarity of understanding about what's best done in the center and what's best done staying local. This is a critical part of making our revised operating model work and it's an area that we're keeping under close review. Certainly, an area here is going to be spending a lot of time. Now, underpinning that superstructure, we have what we call our enablers. These are the services and infrastructure platforms that connects our business. And then once fully installed will allow it to function much more efficiently. These enablers include our sourcing capability, IT, supply chain, and shared services. Now, most of these enablers have either been completely rebuilt or built from scratch over the last three and half years. We’ve centralized what was a completely desperate sourcing model in which each operating company was fully responsible for its own ranging. We’ve implemented a common IT platform capable of delivering significant operational efficiencies and clear customer benefits. We've launched a scalable e-commerce capability across the business and we've leveraged our scale to establish group-wide GNFR and shared service capabilities. These are fundamental changes to our DNA and so our ways of working that will allow our scale advantage to be fully realized. Now much of this work has worked and it's worked well. As I mentioned earlier, sales and margin from our unified offer continues to grow. We're seeing quality output now really coming through in the area of product design and digital sales as you've seen on the rise. But it's equally clear that some of the enabling technology and operational processes are not working as well as they need to. As you've heard, the performance of Castorama France being the key area where the enablers are not yet working well enough and it's been highly disappointing. We know the benefits of what we've built there, but we did not yet see them flowing through to the customer or into our financial results. The fact is I believe that we underestimated the operational financial disruption that IT supply chain and product range transformation at this scale would cause and as a result we're incurring too much duplication and remediation cost and our trading performance is being hampered. Now, while these enablers are largely now in place, we need to make them work more effectively and we are 100% clear that execution in this regard is our first priority. On Slide 24. This has been a busy year as we said it would be for new range launches. And the first half of the year was particularly busy. And many of these new products, as we've said, are unique to Kingfisher, which is a trend which we shared with you at our Innovation Day in May. Extensions to our highly-successful bathroom's range landed in half one as did new outdoor ranges and a revamped tools and hardware offer. Unified ranges for surfaces and décor, which is the group's largest category by sales, are now being rolled out. And the much anticipated new kitchens ranges will arrive in B&Q during the second half of this year with introductions into France planned for next year. As we've heard, all this activity does cause disruption in store and sometimes in our system. But we are nearly through the heavy lifting and the changes are key to turning up the dial with our customers over time. So, Slide 25 and our priorities for this year. It's essential then, and I hope we've made this clear, that we are going to tune up the key enablers of our transformation program, IT, digital, supply chain. These underpin the long-term growth of our business. It's also essential and a real priority that we get on top of the underperforming elements of our business, particularly in Castorama France. And the two issues clearly are linked. And, in addition, we need to see through other pieces of work which remain outstanding. Following relevant consultations, we're committed to closing 15 stores across the business, including 11 in France over the next 18 months. And most of these will take place in the full year to the end of 2021 - up to the end of our year 2021. And we are reviewing, as you've heard, a number of options with regards to our planned exits from Russia and Iberia. And just a word on Screwfix. As planned, we're looking to expand this business faster by taking action in our core U.K. market including continued investments in price. At the same time, we’re going to be pushing ahead faster with our international rollout plans. We’re on track with our U.K. store openings program. We're on track for our first store opening in the Republic of Ireland, and we're continuing to validate urgently the potential of this brand in the French and Polish markets. Now the success of all the above will ultimately be measured by a return to group sales growth which we are confident about in the medium to long term. We believe our margins and our cash generation can grow as the inefficiencies related to stock management and logistics clearance and dual-running costs are driven out of the system, and the benefits of scale are finally allowed to flow down to the bottom line. And to summarize then and close on Slide 26, Kingfisher remains financially strong and is well-placed with leading positions first or second in the market in which it operates, all of which have long-term growth potential. The transformation that started nearly four years ago now has continued across the group in the first half of this year. Most of the building blocks to support future growth are now in place and the focus very much now is on proving the effectiveness of our enabling technology and processes. In terms of guidance, the outlook for our main markets remains mixed with the U.K. in particular facing continued uncertainty that is affecting the consumer and the housing market. Kingfisher continues to expect a flat gross margin percentage for the full year after clearance. And to close, we're very much looking forward to Thierry joining us as new CEO next week and to him bringing a completely fresh perspective to everything we do. His experience will be invaluable in taking advantages of the considerable opportunities we know this business still has in front of it. He’s engaged in the plan to bring new talent into our executive team urgently, and I'm very confident he's going to hit the ground running. So, thank you very much for listening and your attentiveness. John and I would be very happy now to take any questions you might have. And please I do apologize for not knowing all your names at this point. But if you could raise your hand, I'll take you in order and we will, please if you could say your name, that would be great as well. I think the gentleman in the blue shirt was first and then we’re going to the gentleman in front.
Q - James Grzinic: It's James Grzinic from Jefferies. I appreciate the added transparency in Castorama France. And in the spirit of that, I'm wondering whether if you can give us more details in terms of when were you able to exactly articulate what was going on and at what point did you start putting remedial action to work?
Andrew Cosslett: I think we started to become aware that potentially the early signs started about this time last year in terms of starting to believe that there was - tensions in mid-teens which is usually the leading indicator that there are deep problems. I think the actual supply chain issues didn't really manifest themselves until the spring and since the spring and John's arrival, we've been able to increase the line of sight that we've had on those issues rapidly. And in that discovery process we found a lot more going on. So, we've been making fixes since then and John's been highly engaged in that. We're working with obviously our teams in France. And because it's a combination of IT and supply chain working together, it's complex but highly important set of things we've got in place now in such work streams. So that’s really been the issue. I think that was the first time back in the last year but really in terms of the manifestation probably in the spring.
Andy Hughes: It's Andy Hughes from UBS. I've got a few related questions here. Just picking up with the £68 million exceptional charge, I mean, it seems a pretty hefty sum. I mean there's about 11 big stores and I guess 19 tiddlers in Screwfix that seems quite big charges. Is there any stock clearance within that? So, is the stock within the stores being cleared?
Andrew Cosslett: Consultation related to the actual program itself primarily in terms of France [indiscernible].
Andy Hughes: Right, okay. So, nothing on stock?
Andrew Cosslett: Nothing.
Andy Hughes: Yes, and just moving on to stock. Obviously you've got certainly over £2.8 billion of stocks or stocks have been going up while your sales have been going down. Can you give us any sort of feel for what the [indiscernible] new products, or not new products old products. So can you give us a split? I mean the 59% of sales are in new categories, is that mirrored in your stock or is there more or less in terms of…
Andrew Cosslett: As you've alluded to, it’s a combination of that amount. We have got - has buildup has been - as we’re bringing in the new ranges, we need to actually have a peak in actually building new inventory for the sell-through. That should graduate over time. But also, we've got a growing amount particularly in France of actually stock that's actually now ready for clearance. So, that’s got to work through as well. So, I think there's been a buildup in both. New ranges coming through and then we've also had the deleted items that we've got to work through as well. In terms of a number where that should get to, I’d hesitate to give a number at the moment, but I think we do need to actually reduce this in both areas. What will happen naturally as the new ranges come in but the other actually the non-unified ranges are those that have been deleted that'll have to reduce over the next 6 to 12 months.
Andy Hughes: The outlines - is going to be discontinuing what, sort of rough percentages inventory is that?
Andrew Cosslett: To give you a number, it will be sort of 5%.
Andy Hughes: Okay. So that's quite low. So, I mean, what I'm trying to get at is when is the magic year going to be when you get your supply chain change coming through when you don't have the clearance to offset it. Is that for 2021?
Andrew Cosslett: Yeah. I see where you're coming from. I'm very intimidated, right. Why didn’t you say, what's our baseline clearance and everything goes through. I think we're going to need another year and a half at a minimum. It definitely won't happen this year. We still have new ranges coming in particularly in kitchens in France next year. And then there will be some range extensions of the existing ranges we'll put through. So, I think it's probably another year and a year and a half before we get into a normalized level but we don't have a total fix on that at the moment.
Anne Critchlow: Anne Critchlow from SG. Two questions for me please. When do you think you'll be able to drop the legacy supply chain systems in France? And then secondly, what percentage of products is now relating to the product unique to Kingfisher?
Andrew Cosslett: It's a good question on the legacy. I'm on it. No. It's definitely. I think that's been an issue as we've been transitioning. We're not actually launching or completing the IT platform rollout in Brico Dépôt during the course of this year. We're working up through with the team really looking during the course of next year. Second half of next year, all I would say is dropping the core legacy systems and that will actually release that duplication and some of the costs for both the IP area. Part of that obviously is going to be dependent on how quickly we can move through these ways of working, the processing engineering that's required. Because as Andy said, as well as I said that both of these models have been decentralized models that we actually have to centralize and then actually get the processes in ways of working but I'm aiming for the second half of next year.
John Wartig: And a unique number. I believe. I'll be corrected if it’s wrong, 6%? 6% to 7%?So, it’s still relatively low. But, as you saw, if you were there in May, it's an area where we think there is a lot of mileage and the opportunities to be more innovative. And we have invested quite heavily in the last few years in product design capability that we never had before. So, we do actually have now teams of people coming up with our own customer-focused innovative products, which we're now getting our new supply base we need to make it work. So, again, it's a journey, but we are confident that that’s going to rise. But, again, one of the questions for Thierry is exactly how far does that go, what's through the sale and investment of that, and how does that stack up against international brands and local brands, which is a part of that customer proposition piece that we were talking about.
Kate Calvert: Kate Calvert from Investec. Can you explain why Brico Dépôt didn't have the same supply chain issues as Casto, and what's been different in the implementation?
Andrew Cosslett: Well, two things. First of all, Brico Dépôt isn't fully on the template yet. It hasn't been fully transitioned. That will happen in the second half of this year. And, secondly, I think a major component there is actually has significantly less SKUs. Now, if you take Castorama, it is close to 60,000 SKUs. But, currently, Brico Dépôt only has 13,000, and also a total of less unification. So, the complexity there has been less. But, also, I’d like to think that we've learnt some of the lessons from what's actually transpired just recently with Castorama. There's a lot of the same people that are working on that. And I think the last point to add, not a small point, the master data which is critical to this was actually in much better shape in Brico Dépôt because of its legacy of how it run its business.
John Wartig: I think that’s very important. Sorry. If I may, just to add, too, here is a really important point. All our different OpCos started in different place. We were never in a rollout situation that some companies have. We were in a situation where we had legacy businesses that all were running differently. And we've had to migrate them all to this new feature. And what this meant is, the ones that have had the longest journey to travel of the centralized curve, which is Castorama, we found it most challenging. Brico Dépôt has always had a fair amount of centralized within their culture and their management structures and framework. It's always been much more essential model. So I think that really helps psychologically. And in the stores, people are prepared to follow and understand central instructions much more rapidly. So it's a combination of all those things I think together which answers the question. So do you have any follow-up?
Kate Calvert: No, I don’t. No. That’s great.
Simon Irwin: Simon Irwin from Credit Suisse. A few random questions. Can you talk a bit about footfall at Castorama? I'm intrigued by your kind of comments around NPS going up. I mean, what's happening? Are people just not coming to the store and finding for availability in which case it’s quite surprising that the Net Promoter Score is improving? Can you just talk a bit more about that dynamic? Second is how has GoodHome gone down as a brand within the business? It’s clearly a very important initiative for the group. And can you just talk a bit about clearance and guidance. My impression was that clearance is used maybe a bit more first half weighted and now you took that in the exact uplift.
Andrew Cosslett: Thanks, Simon. I mean, I’ll take the first if I may and then John maybe a little bit more about clearance. So, footfall is down obviously. We don’t know – I don’t know by how much but it’s said probably by a quarter in the last thereabouts – imagine saying thereabouts but we have lots and lots of footfall over there, two or three years. Part of that has been reaction to the ELDP strategy which we’ve implemented. We brought the overall price index of Castorama down substantially by about 5, 6 points over the last couple of two-and-a-half years. But in doing that, we’ve also taken away the price points by certainly you’re getting promotional activity and we know that a fair portion of people who came into the store were coming in on promotion deals only which is the same Brico Dépôt. So, the strategy was around trying to make sure that we had a more widely understand universal messages everyday low price which people would respond to. So I don’t think they’re in conflict. I think the fact that we’ve got lower footfall is a reality which we are trying to address to all the things we’ve talked about. But the fact that the NPS score because you do NPS scores with the people who shop with you. So, I think we’re actually providing a better service and product and experience for the people that actually use the store in a way we would like them to use it which is a place to come as their first choice home improvement center. The promotional people have gone for now and it’s our job to convert them into loyal customers, not just bill seekers. So, I think that’s what’s happening.
Simon Irwin: GoodHome?
Andrew Cosslett: GoodHome is very new. We’ve spent a lot of time building that brand and just putting it together. It’s our first multi-regional, multi-category entry and I think it is important as you say, not just because it is our first one it’s like that, and is therefore a really interesting brand departure for us. But also because it ticks some boxes which some of our other brands are quite successful on such as the sustainability platform and the profile of the brand which we know are going to be really important for customers going forward. It’s landing well, but it's just rolling out. It's just beginning. We've got flooring in, stores maybe Graham, you'd like to make a comment. Very early days, customers have to get used to new brands, but do you have a comment about ups and downs of the introductions, Graham?
Graham Bell: I think as ever with a new brand there is a timing issue, and I think if I could see the earliest ones we’ve had then has been the GoodHome paint. And of course paint is one of those brands where some customers have a lot of loyalty and getting the changeover. But what we have found especially from our staff and customers that are using the new GoodHome paint, they’re delighted with the quality and the price of the product. So, that's landed really well. There’s a GoodHome flooring which kind of in the next one so we better move. We're getting a lot of great feedback and starting to see the sales lift with that. And I think the next big one for us probably is going to be GoodHome kitchens which we’re obviously just kicking off at the moment. So, I think there’s a timing issue but some great feedback from the customers and the staff which I always think is a great measurement and listening to our customers. It's about the quality of the brand as well as some of the sustainable issues that really are coming to the fore. And predominantly, we've been asked a lot from customers about not just the sustainability of that paint, but also is it suitable for children which is questions that our older generation never used to ask.
Andrew Cosslett: Thanks, Graham. Clearance guidance.
Graham Bell: Yes on clearance. Yes, I mean, I previously said that we though the clearance should be half one weighted. Primarily associated the implementation of Surfaces & Décor we have in place where I said earlier from £25 million - £30 million to £35 million. We hope that we also expect incremental clearance now in half two associated with B&Q kitchen range. And just to note perhaps on clearance was about 40 bps on sales of £6 billion. So that calculates to around £20 million. So, we’re just building in the incremental from B&Q.
Geoff Ruddell: It’s Geoff Ruddell here from Morgan Stanley. Can I just take you back to Slide 16 of the presentation which is the gross margin bridge where you have a 30 basis point improvement from price repositioning mainly at Brico Dépôt France. Could you just explain to us exactly what you've done in terms of price repositioning at Brico Dépôt France?
Andrew Cosslett: So we - I’ll take it. I’ll try. You’ll know that, correct me for this one. The main - one of the main features of Brico Dépôt France is we used to run about 16% to 17% of our sales around - [indiscernible] which is imported products which is sold at a deal. That’s one of lots. That has gone down significantly. We’re probably at the four, five level now again. But that whole strategy how much, where is it, we’re just testing the markets to see whether the right probability is that. It’s the reduction because that was typically if we made anything from it wasn’t much. So, it was about taking that away from our sales line and converting that into more profitable sales even though we got an impact on the topline.
Geoff Ruddell: And if could just ask one more. Obviously, we don’t where we’re going with Brexit at the moment. But if we do end up with the U.K. having a different trade policy to the rest of the EU, are you still going to be able to get the group scale buying benefits you think going forwards because obviously the U.K. has different tariff imports relative to EU tariff imports from either China or whenever else you may be sourcing product from. Could that sort of obviate the whole sort of strategy of buying jointly?
Andrew Cosslett: Well, we don’t. Well, I mean, we don’t think so. Because we're still be better off than we otherwise would be unless we were buying most of - most of them I think locally which I don’t think we’ll ever be so probably would do that.
Graham Bell: Roughly as for intensive sourcing because part of the strategy has been to - on the unified product particular is the source in the filing. So we actually have engineer and we also have been sourcing locally. But to your point, in terms of tariff, that’s typically from Europe. If the government guidelines that we put out which I still reaffirm come thru because we're not actually selling food or pharmaceutical. The products on that list are the ones that we still actually have a zero tariff. That falls into place.
Andrew Cosslett: Depending on how it lands.
Graham Bell: How it lands.
Geoff Lowery: Geoff Lowery at Redburn. Can we talk a bit about Screwfix? I think price and Screwfix were sort of co-joined four or five times through the presentation. Should we take out of this that you've been a bit greedy on price in recent years? How far do you need to go? Can you help us quantify in that group gross margin bridge what the Screwfix price component is in half 1 and half 2.
Andrew Cosslett: Do you want to take that John.
John Wartig : Yes. I think what we have been, we have been - we are sensitive to the competition. We have actually been addressing. We have put some price realignment in the first half. We do have some up weighted in the second half. But I wouldn't use the term greedy. I think is just recognizing the competitive situation. Our price index now is actually in some categories quite close but sort of 101%-103%. But we're continuing to assess that.
Geoff Lowery: Can we talk about transformation cost. You’re obviously taking away one of your three CPT definitions which is totally fine and logical. Should we be adding back £56 million next year as the adjusted number of the non-recurrence of transformation costs or given all that you've got to do? Is this just going to be a permanent feature now?
Andrew Cosslett: I think part of the logic there is that the transformation costs within P&L transformation. We were trying to expect those costs that were actually a part of the initial establishment of, for example, unified offering. As that’s now coming into play and that continues to work, that is actually generating profitability for the business. So, it would be incorrect for us to actually expect that. So, it is a separate P&L item. So, any associated costs with any ongoing is actually absorbed within the margin generation lookup. So, I wouldn't be adding £60 million to the underlying costs as a consequence.
Tushar Jain: This is Tushar from Goldman Sachs. Just on B&Q, it seems the like-for-like has been underperforming with some of the listed tiers? Is there anything apart from range changes and installation issues going in the B&Q that might be impacting the performance there?
Andrew Cosslett: B&Q in particular?
Tushar Jain: Yes.
Andrew Cosslett: Well, we'll ask Graham. And I think those are two we've - three we've called out, Brexit, the installation disruption and kitchens. But any other things you would like to add? We have….
Tushar Jain: I'm going to sat on the B&Q, the digital part as well. It’s just only to 10%....
Andrew Cosslett: Yes, new platform in, so.
Graham Bell: Yes, I think, I mean, obviously, the best, but the economy is something that we're aware of. But I think what we have been doing is really getting a housing order and really getting fit. The installations was a decision we took. I think it was the right decision at the time. We were not technically set up. We didn't have a product range. We were not giving our customers a good service, and we weren't making money out of it. So, I think it was the right decision for B&Q. And I think what we’ve got to do is get a new kitchen range and get a supply and new logistics properly set up and then maybe look at where we go in installations in the future. But I'd rather get the base elements to get fast, to get really fast and ready to be famous for doing a great service, great product and then build on that. I think, on digital, as you probably, having come from Screwfix, I've got a great passion and I think the work that I’m doing with John Mewett, we really have a great opportunity to push forward there. As you know, it's all about getting the base elements and the technical fulfillment. And we've got a great opportunity there. I think, in the future, we're making great strides forward on that. And we have had a lot of disruption this year. We have changed probably over a third of a store which has led to a lot of disruption, we’re just coming through apart from kitchens. We worked hard to keep clearing the stock, as well as getting the new range and really trying to minimize the impact in the customers. And I think we're looking forward to know has really been able to switch that new product and drawing forward a better performance in future.
Tushar Jain: One question on unique/unified ranges. Basically it does look like the growth has slowed down in unique/unified ranges. It was growing close to 2% last year, broadly flat just in the first half of this year. Is it all linked to the Castorama issues or how these revenues are being accepted I rest of it.
John Wartig: Sorry. I missed the question.
Tushar Jain: So, unique and unified ranges growth was close to 2% last year and is close to broadly flat, 40 basis points up this year. Is there something specific happening in the growth in the unique/unified ranges?
John Wartig: Not that I’m aware of.
Andrew Cosslett: There’s now issues. I think if any in the growth - as we’ve seen the cost both unified and non-unified, some of the disruptions that we’ve had in France, but in terms of supply chain, some of the competitive issues and some of the disruption within across the business, but it’s not something specific to unified range that’s changed - and the unified store growing versus non-unified.
Richard Chamberlain: Richard Chamberlain, RBC. Can we just touch on Eastern Europe? I think it looks like the growth in Poland has slowed in the second quarter and then can you just give the reasons for that? And also how much the – in Romania, how much the Praktiker integration contributed to the losses we saw there?
Andrew Cosslett: Okay. I think in the second quarter there were more some – some comparatives and also some – or is more the comparative quarter on quarter and I wouldn't say we're not seeing as growing. They actually had new store openings in a couple of events taking place in the quarter, which are more stand-alone, but it's not a slowing of the overall business. In terms of Praktiker, it has pretty challenging. The business is an integrated. They've got a lot – as I said in my presentation, there's a lot of transitional work still taking place and that’ll go into next year as well. It's taking longer and taking more time. Once they’ve integrated the two businesses and they can actually manage their inventory and everything better, I think their execution will improve, but it still as I said in transition over the next 6 to 12 months. But it has been the drag on earnings in the short-term.
Richard Chamberlain: Can I just ask a follow-up on Castorama France, the digital of the way you think you are on that journey to improve the customer experience and functionality and such optimization and so on and when you’re going to expect the sales uplift from there?
Andrew Cosslett: So, our digital upgrades will come out in a series of releases. So, Graham has just been the latest one which actually digs - give us some clunky moments when that was going in the spring. So there was a bit of impact from there. So, that’s now working a lot better, and we’re guessing - if you look at the NPS because we also measure the NPS of our digital customer reaction. And that’s rising. But I would say it’s rising from a low start in both B&Q and Castorama. So, I think, yes, it's better. The sales have been rising in all our business units including Castorama, but it starts from a long way back and there's still a lot we can do. And I think the next release that we put into B&Q really that we've done this spring I think is scheduled for - I might get this wrong - next spring in Casto, so it will be coming but probably six months now. We have to line everything up with all the other questions we've got today about how do we sequence the change program because there's no doubt that the compound effects of the changes in France have been what really hurt us. So, if you just track the individual activities, you don't actually see the compounding effect till it’s late in the game. So, I think what we need to do is go back as we said and look at how we're sequencing these change programs so that we're not submerging people continually with more change. So, it's just how we do it. And I think the current forecast is for that - but we’ll review that. But hopefully it will be that because it's fairly discrete work. So, yes, it should improve from there, but a long way to improve, big opportunity.
Adam Cochrane: Adam Cochrane, Citi. Can you explain the moving parts of the gross margin guidance of flat for the full year versus up for the first half if you can? And, secondly, I'm trying to rack my brain as you've talked about dual-running costs clearance. What is the source of underlying profitability of the business? How much dual-running cost is sitting in there? How much of your gross margin is being negatively impacted? I can’t quite get feel what it should look like at the end.
Andrew Cosslett: So two questions, Graham?
Graham Bell: Yes. I think first on the margin, I think we still have - I think the primary driver there is the ongoing clearance as it would actually weighted our guidance in terms of clearance and the second part is just the ongoing disruption particularly around Castorama France. We don’t expect that to change materially over the short to medium term as we’re sort of working through a number of issues we’re talking about. And then there’s sort of a third element to that, too, is that we don’t expect to get the same level of before clearance and disruption cost because we’ve got the annualization of both the installation and removal in B&Q and also the other values or the price repositioning in France that annualizes the end of Q3.
Adam Cochrane: It’s less positive coming through over the…
Graham Bell: Less positive and too many negatives coming through.
Andrew Cosslett: Okay. On underlying profitability, we don’t have a calculation on that at this point. It’s large. I think does that help?
John Wartig: I think it would be fair to say that there’s significant unlock potential in value once we remove a number of date impediment, clearance being normalized or removing the supply chain and logistics issue, getting our fulfillment in place and getting digital in place. We're currently working through our three-year plan analysis at the moment which we’ll be going to with Thierry. And I am sure, that Thierry, you’ll actually have a number of inputs into that. So the business going forward is something we’ll be working to over the next three to six months.
Alasdair McKinnon: Alasdair McKinnon, Scottish Investment Trust. Thanks for today’s presentation. Look, I get in several years of paying, unifying everything. What I wonder though was with Thierry’s arrival whether there’s an opportunity to step back a level at the board level and say, is this the right way forward. Is this what the customer wants or is there a way to look at the portfolio of assets and say perhaps different companies want different things. Perhaps it’s a different way of doing. I know that won’t be popular because of the journey we’ve been on but I just wonder what your thoughts and why you think a unified offering across different geographies will work? What can you point to say it works?
Andrew Cosslett: Well, I think - you know look and it's a great question. As I said at the start of the presentation, Thierry has no handcuffs on. He can come and he can look. We're operating to a business that you know it’s common sense in any business that you make the best of your assets. How have you defined that to be. We definitely want to try and get a return from the investments we’ve made and we think that some of the things we've done are certainly obvious ways to improve the efficiency of the business as it is composed. I think you know Thierry will come in and take a full view and a good look at everything. And we need to have some priorities of resource allocation. We need to think through that and that's going to be part of the process that we're going to be going through with the Board with Thierry’s aim for over the next few months. You know there are there are - I think there are evidence points that it's always a balance. This is not an active fate. This is about finding the right pragmatic balance between what you know you can unify and get benefit from where customers are happy with the innovation you bring and the fact that it’s unified is I’m not going to end to that. It can be unified and it’s the advantage you’ve seen in better pricing and unique attributes to the product. So you improve the product, you drop the price, and it’s a price category - and it’s a product category that is insensitive in terms of customer loyalty. Those exists, we have large amounts of executives like that. Finding the balance between those products and how much local product we have in international again. So, it’s back to this question and we need to continually test and make sure that we are serving our customers and I'm sure Thierry would agree with it with what they want and finding the places where we can get the efficiencies out with no detriment and improvement in customer. So, it's a balance. And we'll see where we go. But I think Thierry's arrival is opportune. I think it's a good opportunity to get a completely fresh perspective and we'll be back to talk to you about that.
Tony Shiret: Tony Shiret from Whitman Howard. Back to the business as it is. You mentioned availability Castorama and I wonder if you could sort of give us some sort of quantification of how bad presumably your availabilities and where you think you can get it to and what you measure with availability. And second point, on the unique offer where you’ve got 150 basis points of gross margin benefit. Is that a net figure? I mean, have you sort of retained all of the benefit or I presume there's some fostering prices where there's - as retention in the gross margin. Can you give us some sort of sense for that?
John Wartig: I think the 150 basis points, it is gross. It's the gross and I think we're stretching it out. Anything you see in our margin, we haven't been out to retain all that. There is some CPI and inflation coming through there. We're trying to actually offset but not all of it gets retained and yet again dissipated some of it through supply chain. As we said to the ways of working now that under the new operating model, we're actually earning more of the supply chain particularly from the Far East that we're not just sourcing from around the corner. So, there are some additional costs that's actually offsetting that.
Tony Shiret: So, the 150 basis points is before those costs.
John Wartig: Great.
Tony Shiret: Okay.
Andrew Cosslett: And the availability question?
John Wartig: The availability I mean - you mean in broad terms, I mean, if you're looking at what is good - or actually you can look around the group, that’s sort of it’s more like a 98%, 99% in terms of fulfillment that's what we should be going for in some cases. And some of it is because things have just fallen over in terms of the DCs that were being sort of sub 95%. And that's the heart of the issue that we're addressing. And in some cases, it is actually - it’s a disconnecting process is the way we've actually had inventory in location the way we've entered into the system.
Andrew Cosslett: Thank you very much. Well, thank you very much for your time this morning, ladies and gentlemen. And we look forward to seeing you again soon. Thank you.